Operator: Good morning and welcome to the Principal Financial Group’s Third Quarter 2014 Financial Results Conference Call. There will be a question-and-answer period after the speakers’ have completed their prepared remarks. (Operator Instructions). I would now like to turn the conference call over to John Egan, Vice President of Investor Relations.
John Egan: Thank you, and good morning. Welcome to the Principal Financial Group's Third Quarter Earnings Conference Call. As always our earnings release, financial supplement and slides related to today's call are available on our website at www.principal.com/investor. Following a reading of the Safe Harbor provision, CEO, Larry Zimpleman; and CFO, Terry Lillis, will deliver some prepared remarks. Then we will open up the call for questions. Others available for the Q&A are Dan Houston, Retirement and Investor Services and U.S. Insurance Solutions; Jim McCaughan, Principal Global Investors; Luis Valdes, Principal International; and Dennis Menken, Vice President of our Investment Team. Some of the comments made during this conference call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act. The company does not revise them or update them to reflect new information, subsequent events or changes in strategy. Risk and uncertainties that could cause actual results to differ materially from those expressed or implied are discussed in the company's most recent annual report on Form 10-K and quarterly report on Form 10-Q filed by the company with the Securities and Exchange Commission. Before we get to the prepared remarks I'd like to announce some upcoming investor events. First, on the afternoon of November 21st we will host an event in New York City to provide an update on Principal Global Investors; our asset management business. Details are available on our website. We are also planning an update in the spring on Principal International’s Latin American businesses. That event will be held Santiago, Chile on March 11. We hope that many of you are able to attend these events. Finally our 2015 outlook call will be held on morning of December 8th. We will provide call-in information closer to that date. Now I would like to turn the call over to Larry.
Larry D. Zimpleman : Thanks, John, and welcome to everyone on the call. As usual, I'll comment on three areas. First, I'll discuss third quarter and year-to-date results. Second, I'll provide an update on the continued successful execution and long-term benefits of our strategy; and I'll close with some comments on capital management. As John mentioned slides related to today’s call are on our website. As you can see on slide four total company quarterly operating earnings of $354 million made this our third straight quarter of record earnings. As Terry will discuss the results included a $39 million benefit from our annual review of actuarial assumptions and methodology. However even adjusting for this we consider third quarter to be another strong quarter. Third quarter results combined with a strong first half resulted in year-to-date 2014 operating earnings of $994 million. This is a 28% improvement over year-to-date 2013 results on a reported basis and a 23% improvement when adjusting for the actuarial assumption review. This is an outstanding result despite continued macroeconomic volatility and reflects the strength of our diversified business model and the ongoing momentum in our businesses. Assets under management were $514 billion at quarter end, down 1% from mid-year. The strengthening of the US dollar reduced assets under management by $9 billion for the quarter. Solid sales and retention contributed to $2.7 billion of total company net cash flows for the quarter and $18 billion over the trailing 12 months. This demonstrates the competitiveness of our businesses, the outstanding investment performance we are generating and the strength of our distribution partnerships across the organization. Following our additional key growth metrics from the quarter, full service accumulation quarterly sales were $1.8 billion. We continue to strike the right balance between growth and profitability. Third quarter recurring deposits increased 9% over the prior year period reflecting the recovering economy and improving deferral rates as our retirement readiness initiatives started to take hold. Principal Funds had strong sales of $5.2 billion for the quarter. Net cash flows were $1.4 billion. This is Principal Funds’ 19th straight quarter of positive net cash flows. At 8% of account value Principal Funds net cash flows were almost three times the industry. Principal Global Investors had $500 million of unaffiliated net cash flows which contributed to unaffiliated assets under management of $114 billion at the end of the third quarter. Total assets under management in Principal Global Investors were $307 billion. Principal International’s assets under management increased 13% over the prior year quarter to $116 billion despite the strengthening of the dollar. Coming off record net cash flows in the second quarter Principal International delivered strong third quarter net cash flows of $2.5 billion driven by continued strength in Brazil. Specialty benefits premium and fees increased 9% over third quarter 2013 as a result of record third quarter sales and strong persistency. In plan growth over the past 12 months was 1.5%, the highest level since 2006 signaling more sustainable job growth. We continue to deliver products and solutions that are in demand with a focus on providing financial security to business owners, individuals and investors around the globe. We remain confident about our competitive positioning and our ability to continue to grow our businesses into the future. Next I will provide a few updates on the continued execution of our strategy. Many of you had the opportunity to attend our investor event in September with members of our US Retirement Leadership team as they discussed the Principal remains competitive and is a retirement leader with key differentiators like Principal Total Retirement Suite and Retire Secure. These innovative approaches build stronger relationships with advisors, client sponsors and participants driving better persistency. We are also focused on addressing retirement income gaps through our retirement readiness program called Principal Plan Works. Plan Works encourages plan level features such as auto enrollment and auto escalation to drive improved participation in deferral rates. Additionally we recently rolled out a new participant website designed to provide participants a quick view of their retirement savings and drive them to take action to improve their retirement readiness. As slide five shows investment performance continues to be very strong and is a leading indicator of growth for our retirement and investment management businesses. At least 85% of Principal Funds investment options were in the top half of Morningstar rankings on a one, three and five year basis at quarter end. Principal Funds continues to perform very well. Funds had record operating earnings in the third quarter demonstrating our ability to turn the strong growth in recent years into bottom line results. Principal Funds continues to have great success executing on a strategy focused on asset allocation, multi-manager funds that address risk and income needs. 65% of Principal Funds assets under management are in Morningstar rank four and five star funds. We continue to expand on our outcome based funds lineup and enhance our investment platform. Through the third quarter we have launched four new fund products this year and anticipate launching three more in December and up to five more in 2015. Principal Global Investors made two strategic announcements in the third quarter that enhanced our successful multi-boutique strategy; first, we announced the Principal Real Estate Investors, a dedicated real estate group of Principal Global Investors partnered with Macquarie Group to create a nationwide commercial lending platform known as Principal Commercial Capital. Principal Real Estate Investors will provide its underwriting and loan origination expertise but will not take on the balance sheet risk. In addition we announced that Principal Global Investors has increased its ownership stake in Columbus Circle Investors from 70% to 95% with plans to acquire the remaining 5% over the next two years. Columbus Circle has performed exceptionally well since we first acquired a majority ownership in 2005 with assets under management quadrupling over that time. Investment performance was strong and we retained all of the key investment staff. This boutique remains an important part of our overall investment management strategy as it invests on behalf of all of our platforms. Principal International had another quarter of record operating earnings despite continued macroeconomic headwinds. On a local currency basis operating earnings once again grew at a double-digit rate compared to the prior year quarter. A combination of our investment management expertise, our ability to effectively manage the business at a local level and our relationships with marquee distribution partners positions Principal International for continued long-term growth and success. An example of our strong distribution partnerships is the success of our joint venture in Brazil, BrasilPrev. On the trailing 12 months basis BrasilPrev garnered 58% of net deposits in the Brazilian open pension market moving them into the number two spot for pension providers based on assets under management. This underscores the strength of Banco Brasil’s distribution reach and demonstrates the powerful long-term opportunities for BrasilPrev. Additionally we continue to focus on maximizing the voluntary savings opportunities in Chile. Cuprum voluntary sales increased 29% and net cash flows for voluntary products were five times higher than the year ago quarter’s results. I also want to mention the continued strong performance from our Specialty Benefits Division. Our team continues to do an excellent job of maintaining above market growth with sound pricing discipline resulting in better than expected loss ratios. Providing leading employee benefit solutions to small and medium size businesses continues to be an important part of our strategy in the United States. Next I will comment on capital management. Our fee based business model allows us to generate free cash flow and strategically deploy it to create long-term value for shareholders. We remain well positioned to deploy capital through a variety of options in addition to supporting organic growth. Last night we announced a $0.34 per share common stock dividend payable in the fourth quarter. This brings the annual 2014 common stock dividend to $1.28 up 31% over full year 2013. The merger and acquisition pipeline remains active with opportunities to further enhance our global investment management platform. In closing I want to point out two third-party recognitions we received. I am especially pleased because both of these recognize our commitment across the entire company on corporate responsibility and sustainability. First, Principal Real Estate Investors recently received a Green Star designation for three funds from the 2014 global real estate sustainability benchmark survey including achieving the number one ranking out of 64 opportunistic investment strategy funds. Green Star is the highest ranking this organization provides. In addition the Principal was recently recognized as a leader among S&P 500 companies by the environmental non-profit organization, CDP for its actions to reduce carbon emissions and mitigate the business risk of climate change. We take being a socially responsible company very seriously and are proud of our recent recognitions of our efforts. Before I turn it over to Terry I just want to take a minute to note that yesterday was the 13th anniversary of our initial public offering. At that time we had approximately $100 billion in assets under management and a solid position in the U.S. insurance and retirement markets. Our aspiration was to become recognized as a global leader in the mutual funds and asset management areas. Since going public we’ve generated nearly $150 billion in net cash flows and assets under management have grown to over $500 billion. That’s our compounded annual growth rate of over 12% which is 2.5 times the growth of the S&P 500. But as pleased as we are about our results to date we are even more excited for the growth opportunities that lie ahead of us. Terry?
Terrance J. Lillis: Thanks Larry. This morning I will focus my comments on operating earnings for the quarter, net income including performance on the investment portfolio and an update on capital deployment. Third quarter continued to build on our strong first half of 2014. Total company operating earnings of $354 million were up 31% over the prior year quarter. On a reported basis operating earnings per share were a record $1.19, a 32% increase over third quarter 2013 results. Total company operating earnings for 2013 were a record $1.1 billion. Year-to-date 2014 operating earnings of $994 million are already 94% of that amount. We continue to successfully execute on our strategy and momentum continues to build across our businesses. With our continued shift towards a fee-based business model we’re increasingly well positioned for long-term growth. During the quarter we completed our annual actuarial assumption and model review. The impact from the review was predominantly recognized in the Individual Life division. Individual Life had a net operating earnings benefit of $39 million or $0.13 per share. In third quarter 2012 we made a significant change in our long-term interest rate assumption and guide path. Thus the current year impact from the continued low interest rate environment was minimal. The benefit this quarter in Individual Life was driven by several updated assumptions and model enhancements including refined coverage periods and policy specific premiums. On slide six we normalized third quarter 2014 earnings for two additional items. First, the encaje return in Principal International was $12 million or $0.04 per share better than expected. The higher than expected encaje returns are reflected in Street earnings expectations for the quarter and are consistent with the encaje return information available on the website we provided in the past. Next, Individual Life claim adversely impacted earnings by $10 million or $0.03 on a per share basis. Analysis of claims points to random volatility which is inherent in risk-based businesses. Given what we have seen in the last few quarters we continue to analyze the results and we’ll communicate any changes to our expectations if deemed necessary. On a normalized basis, earnings per share were a $1.05 up 13% over normalized prior year quarter. At quarter end return on equity excluding AOCI was 14.1%. This is a 220 basis points improvement from a year ago. Organic growth contributed a 145 basis points of the increase as operating earnings improved 26% while mean equity increased only 6%. Operating earnings during this time period benefited from favorable equity markets and high variable investment income which were partially offset by the strengthening of the U.S. dollar and higher than expected mortality. We’re still targeting 50 to 80 basis points of annual return on equity expansion as the strength of our diversified business model continues to provide many growth opportunities both domestically and internationally. Now I’ll discuss business unit results. Retirement and investor services delivered its eight straight quarter of double-digit operating earnings growth. For the accumulation businesses operating earnings were a $180 million, an increase of 19% over the year ago quarter. Slide seven shows that the net revenue was up 11% over third quarter 2013 and up 12% on a trailing 12 month basis. Trailing 12-month pretax return on net revenue improved to 34%. All-service accumulation operating earnings were $113 million, a 24% increase over the year-ago quarter. Net revenue growth of 9% combined with expense discipline resulted in an improvement in the trailing 12 month pretax return on net revenue to 35%. This margin has been held by the strong equity market returns over the past year and some positive one-time items that we have discussed in previous calls. Net cash flows for full-service accumulation were slightly negative for the quarter. In light of our shift in focus on asset sales to new business revenue we have become more selective on new sales, particularly at the large end of the market. We are increasingly focused on two measures, first on planned retention which was very strong at 97% year-to-date, up 100 basis points from a year ago and second, on capturing more assets to principle branded funds which is up 5 percentage points to 73% year-to-date on new sales reflecting strong investment performance. Principal Fund’s third quarter operating earnings were up 25% from a year ago quarter to a record $28 million. On a trailing 12-month basis, revenue was up 14% and operating margins continued to improve due to the scale-based nature of the business. For the quarter, Principal Fund sales were $5.2 billion, contributing $1.4 billion in net cash flows. Strong investment performance and are focused on outcome oriented products have led strong sales across multiple asset types. Individual Annuities operating earnings was $31 million for the quarter. The increased fee revenue on our variable annuity business due to market appreciation continues to offset spread compression on our fixed deferred block of business. Looking at slide eight, the guaranteed businesses within Retirement and Investor Services continue to perform as expected. We continue to approach these businesses opportunistically. Turning to slide nine, Principal Global Investors quarterly operating earnings were $25 million, a 10% improvement over the year-ago quarter. Trailing 12 months pretax margin was 25%, slightly below our expectation of 26% to 28% for the year. Fourth quarter 2013 benefited from large performance fees which lowered the trailing 12 month pretax margin by approximately 100 basis points. We still anticipate increasing to a 30% pretax margin. We expect 2014 revenue in this business to be similar to 2013 levels. While management fee should grow in line with assets under management performance fees are less likely to reach 2013 levels. Third quarter net cash flows from our fee base products were nearly $750 million which is partially offset by our opportunistic approach to the guaranteed business. Net cash flows at post advisory groups improved dramatically with only modest outflows during the quarter reflecting some rebalancing occurring in high yield. Quarterly performance remained in the top quartile. Assets under management for Principal Global Investors increased 9% over the prior year quarter to $307 billion. Unaffiliated asset under management ended the quarter at $114 billion, a 7% increase over the year-ago quarter. Slide 10 shows record quarterly operating earnings for Principal International of $74 million, up 46% increase on a reported basis. As pointed out earlier results in the current quarter were helped by higher than expected encaje returns in Chile. While the strengthening of U.S. dollar dampens growth from comparing prior period results Principal International continues to perform well on a local currency basis. Operating earnings were up 12% over the prior year quarter after adjusting for normalizing items. On a trailing 12 month basis combined net revenue was up 20%, above our 16% to 18% expectation due to the strong encaje returns. Combined pretax return on net revenue was 52% on a trailing 12 month basis at the top end of our range. As show on slide 11 Individual Life’s operating earnings were $52 million for the quarter, impacted by the items previously discussed. Moving to slide 12, Specialty Benefits’ operating earnings of $31 million were roughly flat with the year ago quarter while the quarterly premiums and fees were up 9% over the year ago quarter. The loss ratio for the quarter remained strong at 64.5% relative to our 65% to 71% targeted range. The more favorable claims and strong growth in the current quarter were offset by lower expenses in the prior year quarter. On a trailing 12 month basis premium and fees were up 6%. This is above our expectation of 3% to 5% growth for the year. Trailing 12 months pretax operating margin of 11% is inline with our expectations. For the quarter total company net income was $241 million, including realized capital losses of $55 million. Net credit related losses continue to be in line with expectations. We saw improvement in the commercial mortgage backed securities asset class with impairments of only $15 million in the quarter. Net income was negatively impacted by $58 million to the Chilean tax Reform Bill that was signed into law during the quarter. The tax rate will increase overtime so the impact to operating earnings will be gradual. However, we adjusted our deferred tax liability for the ultimate tax rate in the third quarter. Unrealized gains were $2.8 billion at quarter end. As a reminder because of our strong asset liability management changes in net unrealized gains or losses due to interest rate movements do not result in an economic impact. Our asset liability management expertise combined with strong liquidity allows us to avoid forced asset sales in periods of stress. In addition our predominantly fee-based business model limits our sensitivity to interest rate movements. As outlined on slide 13, our approach to capital deployment is balanced and focused on increasing long-term value for shareholders. We’ve now announced plans to deploy more than $855 million of capital in 2014, well above our $500 million to $700 million stated range for the year. In addition, to the third quarter common stock dividend and increased ownership in Columbus Circle Investors we repurchased $72 million of common stock during the quarter. We still have $50 million remaining from the previously announced share repurchase program. In closing there are some macro-economic factors providing significant headwinds as we start the fourth quarter. However, we feel that our diversified business model positions us well for future growth in various economic environments. This concludes our prepared remarks. Operator please open the call for questions.
Operator: (Operator Instructions). The first question will come from Tom Gallagher with Credit Suisse.
Tom Gallagher - Credit Suisse: Good morning. First question is just on -- can you help us think through, I guess it would either be for Jim or Terry, can you help us think through the valuation on the Columbus Circle buyout? Was that just a contractual obligation, was that negotiated, because when I look at the implied valuation of $720 million it looks pretty high relative to what I would expect that to be earnings with AUM. That’s my first question.
Larry D. Zimpleman : Okay Tom good morning, this is Larry. I’ll have Jim take that one for you.
James P. McCaughan: Tom I think you have to see that final payments in the context of the incentive structure at Columbus Circle. And to take you through the whole story as quickly as I can, so the first 70% at the end of 2004 we paid $60 million. Obviously the company was way smaller then and management has done a fine job growing it, and we’ve obviously supported that. We paid a further $180 million, $179 million for the next 25% share. What that means is we’ve effectively for $240 million bought a company that’s current value must be around $500 million if you mark it to market. Now as you remarked the price we paid for the 25% looks to be pretty clearly above market. That was a contractual formula we settled on five or six years ago, very deliberately to incent management to go strongly for growth and to build a very sound business. Management has delivered on that, so that’s why they got a good price for the further 25%. And from a Principal point of view we’ve ended up with a very valuable asset. We’ve also by the way in the ten years we owned it received almost a $180 million of dividends from Columbus Circle. So if you add this all up this has been a really tremendous acquisition. The return on the capital invested so far has been in the high teens. So I think we’re poised to make this very successful.
Tom Gallagher - Credit Suisse:  Okay. That's pretty clear Jim. Thanks. Just a follow-up on the mortality and individual life this quarter. Now I know the actuarial review had gains and I presume those were non-mortality related. Can you just address the issue of what has been, I guess different quarters of weak mortality over the last two or three years and whether or not that was factored into the actuarial review and how would you think about that in the context of the balance sheet? Thanks.
Larry D. Zimpleman : Yeah, Tom. This is Larry; I'll make a few comments and maybe ask Dan or Terry to comment as well. I think if you look back over about the last three or four years I think the last sort of 15 quarters we've had a little higher mortality in about seven of those quarters. So in the current quarter Tom, the higher mortality really was more a matter of severity than it was of frequency. So we are going to take a further look into that. I think it's something that we do need to pay a little bit of attention to. Having said that the mortality was not really an issue in the actuarial assumption review. We took our appropriate steps a couple of years ago, relative to interest rates and other economic factors. The adjustments this time were more related to lapse rates and the reinsurance cost and what I would call sort of maybe some secondary factors, rather than basic mortality or interest rate. So let me see if Dan wants to add anything.
Daniel J. Houston : Yeah, maybe just a couple of data point. So Larry the first is which on a year-to-date basis we look at large claims it’s actually been about one less that we would have been expected for that period of time. But to the comment that made in the earlier comments the severity of those large claims has been more significant. We would have been expected maybe $384,000 versus $800,000. So this is severity issue. We are taking a very hard look at this. We got a group of senior executives drilling down to take a very, very hard look at the business and make adjustments as necessary. But at this point in time we do not think that we get a systemic problem. This is all in the course of the volatility associated with a life block like this.
Tom Gallagher - Credit Suisse: So Dan nothing, because I remember several years ago you all had mentioned the IOE issue is, you are not tracing it back to that per se right now?
Daniel J. Houston: We're not. We can identify through four very large claims had they not occurred we wouldn't have had the mortality expense that we have. As you know our business is bifurcated, some has more reinsurance than others and unfortunately in these instances they were just almost freakish sort of claims. So again more validation and we don't think this is a systemic issue, it’s more of a situational one but again that won’t keep us from really digging into the details.
Tom Gallagher - Credit Suisse: Okay. Thanks.
Daniel J. Houston: Thanks Tom.
Operator: The next question will come from Seth Weiss with Bank of America Merrill Lynch.
Seth Weiss - Bank of America Merrill Lynch: Hi. Thanks for taking my question. If I could just follow up on the actuarial review and I believe you mentioned that the impact from interest rates was minimal for the quarter. Could you comment on how you reset the glide path of interest rate improvements in the future in your [substance]?
Larry D. Zimpleman: Yeah, Seth this is Larry. I'll have Terry make a few comments. To go back again I think you really understand this year you have to sort of go back and look at what was done in the past. I know some comments have been written as to whether does this indicate other companies are going to have comparable sort of positive numbers or rather negative numbers and of course there’s no way to ever really make any conclusion on that unless you have a sense of what each company has done up to this point in time. So sort of the trough at this point and again it's up till now the trough really was in 2012, where at that time the ten year treasury was sort of give or take in the range of 175. Today it's sort of give or take to 220. So from the time we actually took the hit in 2012, which I think is around $90 million, interest rates are now actually up about 45 basis points. At that time, we not only lowered the loan term interest rate but we also changed the so called glidepath that you referenced in your question. So we expected the portfolio rate was going to continue actually go down from that point for another three or four years and that's kind of exactly what's happened. So what I'd say is again we took the adjustment in 2012. It has sort of trended or followed that path that we expected it to follow in 2012. So there is very little need to do any particular updating. So Terry, do you want to add anything?
Terrance J. Lillis: Yeah, it’s Terry, just have a few additional comments on it. Each quarter we take a look at any significant items that may have changed but in the third quarter of each year we do an annual actuarial review of our models as well as our assumptions. We look at interest rates, we look at mortality, we look at lapses, expenses, premiums, reinsurance all the different drivers of those long-term actual models and as Dan said we look at mortality this quarter decided that it was a more of a few random isolated cases so we did not adjust for the mortality at this point in time but we will continue to look at it. As Larry said, in 2012 we looked at the low interest rate environment has turned the ultimate rate and lower ultimate rate down by 50 basis points at that point in time. But probably equally as important and maybe more so important is the glide path with which to get there. Each company will have their own opinion as to this but I think one of ours is probably a little bit more conservative as to how long it takes us to get to that glide path. A year ago we looked at the raising interest rate environment, the environment at that point in time and decided, we are not seeing a significant change in the glide path that we would warrant a positive unlocking a year ago and it served us well again this year. We did again look at the trajectory out to that longer term rate we feel very comfortable with our ultimate rates for each of our businesses. We feel very comfortable in terms of the glide path but as we have mentioned before these are just a couple of the components that impact the actuarial unlocking. The last point I’d make on this actuarial unlocking for the $39 million that we called out impacting the life area was -- that was really a conservative assumptions that we have had over the last six or seven years and so in a lot of cases you will see an unlocking will bring in profitability or losses from future years. This is all with respect to the last six or seven years of understating some profitability. So we are very comfortable with the actuarial review at this quarter and unlocking that we called out.
Seth Weiss - Bank of America Merrill Lynch: That’s very helpful. And if I could just, I suppose follow-up on that and I know you haven’t given specific quantitative landmarks in terms of where rates need to get to but I believe that general commentary at least back in the third quarter of 2012 when you and some others changed the interest rate assumptions, was following the forward curve in the near term which rates have actually followed pretty closely what the forward curve suggested, if you go back two years ago. But then I believe that it implied a faster improvement in interest rates if you look forward three to five years, going back to 2012 or coming up upon that. So the question is if we just follow today’s forward curve going forward is that not going to be fast enough rate of improvement in order to avoid balance sheet charges in future years?
Terrance J. Lillis: No, Seth this is Terry again. No, I think what we are looking at right now is an ultimate rate that is probably -- and varies based upon the product under duration obviously but if you are looking out 30 years, 25-30 years into the future the forward rates are probably pretty closely where we would expect them to be at that point in time.
Larry D. Zimpleman: Seth, this Larry. I am going to add one higher level comment. You know Individual Life’s business remains very important to us strategically but I also think it’s important that investors not lose sight of the fact of the substantial growth that’s happened over the last few years is going to continue to happen with our fee base businesses so, what you are talking about there again is roughly give or take somewhere between 5% and 8% of our total company earnings attributable to Individual Life’s. So we could talk about sort of the unlocking and there is going to be some noise from time to time but I don’t want to let that obscure the real trend which is happening which is really the growth in the fee base businesses. So just wanted to add that comment as background.
Seth Weiss - Bank of America Merrill Lynch:  Understood, thanks a lot for the comments.
Operator: The next question will come from Erik Bass with Citigroup.
Erik Bass – Citigroup: Hi, thank you. Can you talk about what drove the decline in the pretax margin in PGI this quarter? And it sounds like from your comments in the script you still are comfortable getting to the 30% plus range for pre-tax margins over the next two years. So if you can just talk about kind of what are the key drivers there?
Larry D. Zimpleman : Yeah, you bet. I’ll have Jim cover that for you.
James P. McCaughan: Yeah, thanks Erik. Firstly there’s always a lot of fluctuations quarter-to-quarter. So really better to look at the trailing 12 months to move that out, to get the trend. First thing to say as a broad context is the industry is suffering and has been suffering in the last two years as assets have moved to passive and to liability driven investing. We are in those businesses but we are not big players. So in terms of flows, the main point is flows are very loopy businesses and that’s put some pressure on industry margins. What that pressure is meaning is that we are going to take longer to get to that 30% we have talked about. If I look to the current quarter however it was a pretty low quarter for both transaction fees on real estate and for performance fees generally. So that actually means that it was if anything a pretty low quarter if you look at the fluctuations quarter-to-quarter. Secondly in conjunction with the general churn in the industry, the net flow consists of some pretty big inflows and outflow and the inflows of course are not cost free. There’s cost including commissions of putting that business on the books. So that’s actually one of the factors that brought the margins down a bit for this particular quarter. Now of course being able to take in assets in contrast to many in the industry because of our performance and our distribution reach is long-term good for the business but short-term it does cause a bit of a margin impact. If you look at the trailing 12 months, which I encourage you to think of as the glidepath towards that 30%, firstly the fourth quarter 2013 will fall off. That was a low margin quarter because of the particular set of incentive fees we had in that quarter. We are pretty confident the trailing 12 months will again show some progress and be in albeit lower level of that 26% to 28% range we previously talked about. But we are on course to continue improving margins. The real reason I am confident of that is that the business we are putting on the books at the moment is both very well priced and should be quite profitable looking forward. The margin of new business is very profitable. That’s really the root of our confidence that we are headed for 30%.
Erik Bass – Citigroup: Thank you, that’s helpful. Any sense of, I mean at this point how quickly you would assume that pace of expansion from kind of getting that 26% to 28% to the 30%.
James P. McCaughan: Yeah, we will get more formal about that in the guidance call, but I think it’s fair to say the industry background makes it fair that it will take a year or two more than we perhaps thought when we first started.
Erik Bass – Citigroup: Okay, thanks. And then if I could ask just one other margin question this time on [RIS] accumulation. At Investor Day you talked about continuing to target to 28% to 32% return on net revenue overtime and outlined a couple of factors that could pressure margins other than just the market decline. I think you also suggested the margins could remain above that target near-term if the markets hold up. So can you just help us think about how long it would take for margins to decline from the current level to that, and at 28% to 32% range if the market performs inline with your expectations?
Larry D. Zimpleman : Okay, Erik I’ll have Dan cover that.
Daniel J. Houston : Hi, Erik, this is Dan. I would say over the course of next couple of years again we have had really nice tailwinds here in the last two years driving equity markets and it’s been really nice obviously. But again when we validate those long-term earnings rates we feel very confident that we can hold up into those ranges, in fact they are up slightly and a lot more to do with just how positive the markets are right now as opposed to anything else.
Erik Bass – Citigroup: Okay, thank you.
Operator: The next question will come from Sean Dargan with Macquarie.
Sean Dargan - Macquarie Capital (USA), Inc.: Thank you. Gentlemen PGI typically in the fourth quarter of a good year you will receive some performance fees that will flow through the income statement. I am wondering if you could give us a directional sense of where they may shake out this year.
Larry D. Zimpleman : That’s a terribly hard thing to do given volatile markets and even a well-managed hedge fund which is where the big numbers tend to come from can have individual months drawdowns in the low single-digits and that can affect the amount we make. As of the end of September we were confident of a decent fourth quarter but not as big as a performance fee as last year. And I think that’s probably about the best I can say right now because there is a high degree of uncertainty until you really get into the closing stretch. But the other thing I’d point out though is we were little unfortunate last year in that the big performance fee came through on a petro hedge funds where we have a very historical agreement, a very legacy agreement with the team that we will pay them a large proportionate incentive comp of the carry on the fund. So the funds we set up and developed more recently we have a more market deal. So there won’t be the adverse impact on margins if it flows through as expected.
Sean Dargan - Macquarie Capital (USA), Inc.: Okay, thank you, that’s helpful. And then just going back to the change in the tax law in Chile so the effective rate overtime will creep up to 27%, is that correct?
Larry D. Zimpleman : That’s correct.
Sean Dargan - Macquarie Capital (USA), Inc.: And then how long will that take?
Larry D. Zimpleman : Five years, four to five years.
Sean Dargan - Macquarie Capital (USA), Inc.: Okay and the charges related to deferred tax liability, which is why you put a plug on?
Larry D. Zimpleman : That’s right. I mean we sort of believe -- this is Larry, Sean, we sort of believe that the operating earnings metric is best suited to sort of help to predict how the businesses themselves are doing, not some of the other balance sheet impact. So to put the -- at least in our thinking the way we construct operating earnings to put a one-time item like a reset of the deferred tax asset into an operating earnings number would make it more difficult for you to try to understand and to get a reasonable estimate of what the run rate earnings of the business are. So that’s why to us it made sense to put it in the other after tax adjustment.
Sean Dargan - Macquarie Capital (USA), Inc.: Okay thank you very much.
Operator: The next question will come from Jimmy Bhullar with JPMorgan.
Jimmy Bhullar - JPMorgan: Hi, first question for Dan just on FSA flows and deposits. They seemed a little weak this quarter I think you were optimistic at the last call that things were going to improve in the second half. So maybe you could talk about how you’re balancing margins and flows in that business and how the competitive environment is and maybe talk about the pipeline as well? And then secondly for Larry or Terry, you’ve spent more on buybacks and deals and dividends this year than you had indicated previously. So should we assume that you’re going to be active on buybacks through the remainder of the year as well or not?
Larry D. Zimpleman : Okay I’ll have Dan take the FSA one first, Jimmy.
Daniel J. Houston : Yeah, Jimmy, good morning. Good strong margins, good recurring deposits, good strong revenue growth, a little light in sales at 1.8 billion versus prior quarter $2.7 million, we have one sale just this last, year ago quarter that was nearly a $1 billion. So again if you wanted to kind of compare the two numbers we’re closer to be on top of one another than perhaps you realize. The large case market is more lumpy, that’s a reality. When we validate the value proposition of TRS working with our alliance partners, executing our planned works, that’s all still very much resonating with our customers. There’s been a pick up here recently in terms of the size of the pipeline and say the first half of the year the pipeline is pretty light. Again strong investment performance, probably contributes to some of that. In terms of value proposition again when I look at investment performance, as I mentioned in the earlier comments we’ve got very, very strong performance coming from Jim and his team for our Principal branded funds. We had 88% of our funds, five year level that are in the top two quartiles which makes our existing customers happy and prospective clients pleased. We got record retention during that period of time. And the other item I’ve brought this up on previous calls, but when I look at our DCIO business which again is taking advantage of our investment management capabilities without necessarily buying our record keeping, that’s up double from where it was in 2011 and $3.3 billion in terms of the shift and net cash flow a little bit light, it’s negative a couple of $100 million. Again we’re still coming in on top of that net cash flow, which would be somewhere net of 1.5 billion on a year-to-date basis which would put us at the low end of our range of 1% to 3% of beginning year account balance. So it’s not performing that unlike what we would have expected. And the difference is probably a few larger cases. But again we’re going to stick to our focus on being disciplined, on profitable growth and write businesses that are going to allow us to execute on all of business, all the values that we bring as an asset manager in addition to being a provider of services to participants and plan sponsors. So hopefully that helps Jimmy.
Larry D. Zimpleman : So on your other question, well, maybe just a quick comment Jimmy on your first one, which is if you had, if you as an analyst or you as an investor had a choice between two different paths, one path would have higher sales and less retention. The other path would have lower sales and higher retention, 2014 represents that second path and that second path is actually a better economic outcome to have somewhat lower sales and better retention, because your most profitable business in the dollars that you have on the book. So actually of the two paths, we like this path better. Now on your question on buybacks, again I think we have been more consistent on this issue, certainly than many of our insurance peers but even more I think than many other public companies. We have said now for some period of time we are less oriented towards share buyback. We think we are among a very small set of companies that can organically grow our earnings and use that to grow EPS. And so we think about share buyback as simply a tool to offset dilution, and that's essentially what's happened over the last couple of years as we use share buyback offset dilution. We have allowed the businesses to grow organically and that provides EPS. I think as I sit here today Jimmy and I look forward I think that's going to continue to sort of be the formula. We have a lot of opportunities, as we said before in the script, we have a lot of opportunities around M&A. I think for those who are long term shareholders, the best thing we can do is to use our capital to deploy it to grow our businesses and grow shareholder value over the long term. And so that's what we're going to continue to do. We will continue to move the dividend up. I think a 31% increase in our common stock dividend this year should be viewed very positively by investors but share buyback, while it is a real stat it's not something that we have to go to in order to grow EPS which is what most companies end up having to do.
Jimmy Bhullar - JPMorgan: And the deal focus primarily I am assuming is asset management and international?
Larry D. Zimpleman: That is correct.
Jimmy Bhullar - JPMorgan: Okay. Thank you.
Larry D. Zimpleman: You bet.
Operator: The next question will come from Suneet Kamath with UBS.
Suneet Kamath - UBS: Thanks and good morning. Just a couple of quick ones. First on the asset management business, and specifically the buy ins of -- any future buy ins of boutiques, are there any more deals that were sort of structured like the Columbus Circle that we should be thinking about over the next couple of years in terms of good options and the like.
Larry D. Zimpleman: Yeah, I’ll have Jim cover that, Suneet, good morning.
James P. McCaughan: Thanks, Suneet. The only one that's on a similar formulaic pattern is actually the further 5% of Columbus Circle which there is no guarantee that we expect to be able to buy that in from management over the next two or three years. So that would be on the same sort of structures I described. Since about six or seven years ago, really the rules around put and call options have made it much more advantageous to go with pure market value assessments and so the exact structure I described in Columbus Circle is not replicated on the other puts and calls. Where management have equity in the boutique we generally do have put rights for them particularly if they want to retire and call rights for us some years out in the future. But really the further 5% of Columbus Circle is the only one that imminent in the next year or two.
Suneet Kamath - UBS: Okay. Got it. And then I guess for Dan on FSA just a follow up on Jimmy's question. I guess at the beginning of the year you had talked about flat sales. It looks like fourth quarter would have to be a pretty huge quarter for that to happen. So any sense on what your full year outlook is now for sales and given some of the market dynamics that you mentioned, how should we be thinking about 2015 sales growth?
Larry D. Zimpleman : Yeah. So this is Larry I'll just make a couple of high level comments. You know we're now little bit focused Suneet on sort of the revenue generated by the sales, rather than the AUM generated by the sales. And so we had a certain target sort of thinking that 2014 was going to represent an FSA sales volume and net revenue new volume that would be comparable to 2013. And I think while we may fall little bit short on the asset component we do expect to be pretty close in terms of the revenue generated off of that sales volume being very comparable in 2013. So again all-in-all in an era where there is less money in motion, I think that’s actually a pretty good result and as I said we are seeing retention at an all-time high, which again adds to the margin and to the profitability of the business.
Suneet Kamath - UBS: Okay and then just one last one, just on that same topic. So I think Dan you had said earlier or somebody had said earlier that about 73% of new FSA sales are going into Principal Fund how high do you think that number could go? I would imagine at some point you’ll hit a ceiling but I just don’t know if you have a sense of how high that number could go?
Daniel J. Houston : Yeah, I think the ceiling’s a 100%.
Suneet Kamath - UBS: You could actually do a 100% you think?
Daniel J. Houston : Well, I like think we could because investment performed just good. In all seriousness the reality is it really differs by the size of the plan. The smaller the plan the higher profitability you’re going to have a higher percentage allocated to Principal funds and if I look at that emerging market which is under $5 million that’s north of 80%, 85%. If I look at that dynamic on a 5 to 50 those numbers kind of settle in the 70s. It’s when you get to the really large cases where you get this volatility if you wanted to you can write a lot of plans where you didn’t manage any of the assets and you did 100% of the record keeping. The economics on that are not very good. The reality is that space is going to probably end up settling into that 50% to 60% of Principal managed accounts. The good news is we’ve got really good value proposition with the service package and investment performance is good which leads to being more selective, more disciplined and we just finished a institutional client conference in September with some of our largest clients, had the opportunity to showcase what we’re doing, some of the new plan -- some of the new investment options, some of the new services, in particular about helping their future retirees do a better job planning for retirements called Plan Works. The feedback could not have been more positive. So again it reinforces that we feel that our strategy is very much on point. We may see sales, as Larry pointed out, measured by assets down say 5% or 10% on a full year basis relative to a year ago. And at some point we may have a more sedate conversation about the difference in our model that values assets under management versus assets under administration because those are two very different models and I suspect the industry will start bifurcating to some extent along those lines.
James P. McCaughan: Yeah if I can add to reinforce Dan points, Dan made some excellent points but I would emphasize that his team and mine, in other words the retirement services people and the product people within Principal Global Investors work very, very closely together designing capabilities that provide outcomes that are attractive to the plan participant. And that’s why ultimately we’re doing better in terms of the allocations that are coming both from the fund sponsor level and funds participant level. It’s not as well as something I would argue the strongest suite of investment products in the industry that makes us so confident we can keep in on in this direction.
Suneet Kamath - UBS: And those large cases that you’re talking about where maybe you get a smaller than average percentage of the asset management mandate, is that forming about a third of your new business?
Larry D. Zimpleman : Yeah, that’s probably a good number. I think in years past it could have been as much as 50% but if we settle down on a third, small third medium and a third large and those large plans are ones that really value the entire suite of services products and investment line up that’s probably not a bad place for our stand up.
Suneet Kamath - UBS: Terrific, thank you.
Larry D. Zimpleman : Thanks Suneet.
Operator: The final question will come from Steven Schwartz with Raymond James.
Steven Schwartz - Raymond James & Associates: Hey good morning everybody. Mostly asked and answered but I am interested in any update you might be willing to give on expansion in Asia and of course particularly in China anything happened in the quarter?
Larry D. Zimpleman : Okay this is Larry, Steven. So as you know we’ve had a very successful -- I’ll talk about China first and then make few comments on Asia and see if Luis wants to add anything. We’ve had a successful mutual fund company in China since 2006 and again for those not as familiar with our businesses or partner, there is China Construction Bank which is a very large state-owned bank, today probably the third or fourth largest bank in the world. And that’s been a very successful effort in the mutual fund and asset management space. But the desire is to hopefully someday get into the retirement business in China. That business exists today it’s called Enterprise Annuity but it’s been limited to local companies. And so we continue to travel over there, to visit with regulators, recognizing their need to deal with aging which in China is one of the most aged populations on the earth because of the one child policy. So we remain hopeful, although I don’t think we’ll have anything to announce in the near term on that particular project but we do remain hopeful that overtime we think if and when they expand that industry we’ll be one of the first ones allowed in. More broadly across Asia, Steven, it’s a great question and what I would say is, and I mentioned this in the opening comments, there is more activity and some of that is in Asia and most of that is coming out of banks, primarily European banks, but some U.S. banks who are in the process, as I think everyone knows of having to get out of geographic markets that are not meaningful and having to get out of tangential businesses that are not meaningful. So the regulatory pressure on the larger banks continues to be pretty severe and that gives companies like Principal I think a great opportunity and we’ve done a number of acquisitions in Asia although they’ve been pretty small. You may remember last quarter we announced an acquisition in Thailand, that’s kind of small on one hand but it actually doubled the size of that Thailand business. So again it’s a matter trying to sort of get to scale within each of the seven countries in Asia where we operate. So anything you want to add Luis? No, okay I hope that helps Steven.
Steven Schwartz - Raymond James & Associates: Yeah, I appreciate it. Thanks guys.
Larry D. Zimpleman : All right take care.
Operator: We have reached the end of our Q&A, Mr. Zimpleman, your closing comments please.
Larry D. Zimpleman : Yeah I just wanted to say thanks to all of you for joining us on the call this morning. We’re very pleased with our results to-date in 2014 and we look forward to a strong finish to the year and so with that thanks for joining us. I hope to see many of you on the road in the coming months. Have a great day.
Operator: Thank you for participating in today’s conference. This call will be available for replay beginning at approximately 12 PM Eastern Time today, until end of the October 31, 2014. 8844037 is the access code for the replay. The number to dial for the replay is 855-859-2056 U.S. and Canadian callers or 404-537-3406 international callers. Ladies and gentlemen, thank you for participating. You may now disconnect.